Operator: Greetings, ladies and gentlemen. Welcome to the Vesta Fourth Quarter 2024 Earnings Conference Call. [Operator Instructions]. It is now my pleasure to introduce your host for today Fernanda Bettinger, Vesta's Investor Relations Officer. Please go ahead.
Fernanda Bettinger: Good morning, everyone, and welcome to our review of Vesta's fourth quarter earnings results. Presenting today with me is Lorenzo Dominique Berho, Chief Executive Officer; and Juan Sottil, our Chief Financial Officer. The earnings release detailing our fourth quarter 2024 results was released yesterday after market closed. It is available on Vesta's IR website, along with our supplemental package. It's important to note that on today's call, management's remarks and answers to your questions may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ. For more information on these risk factors, please review our public filings. Vesta assumes no obligation to update any forward-looking statements in the future. Additionally, note that all figures included herein were prepared in accordance with IFRS which differ in certain significant risk [indiscernible] from U.S. tax. All information should be read in conjunction with and is qualified in its entirety by reference to our financial statements. including the notes thereto and are stated in U.S. dollars unless otherwise noted. I will now turn the call over to Lorenzo Berho.
Lorenzo Berho: Thank you, Fernanda. Good morning, everyone. Before turning to our results, I would like to provide some perspective on our company as we review the past year. We have grown Vesta into a global leader in premier industrial real estate. In some cases, managing through very turbulent times. In November, we unveiled our Route 2030 strategic plan, a detailed road map for the next 5 years led by a balanced approach to investment, growth profitability assured access to energy and with ambitious Net Zero and ESG objectives. Throughout 2030 builds on the outstanding results we delivered on our 2019, 2024 Level 3 strategy, all related targets, which Vesta not only met, but exceeded. With this, we have clearly illustrated our next phase in Vesta's journey. Therefore, we expect 2025 will continue to present its challenges, likely resulting in more muted performance for our industry. many agree it would be very difficult for uncertainties, either internal or external effects to alter the opportunities that we see in Mexico. In late January, President Sheinbaum launched a $1.4 billion nearshoring incentive package designed to strengthen the country's shore in regional supply chains as part of a multi-branch plan to grow Mexico's economy and Mexico, in part by embracing its role in manufacturing inputs for North America supply chains. President Sheinbaum's administration through a presidential decree will offer greater incentives for companies seeking to relocate their manufacturing operations to Mexico to be closer to the U.S. market, including generous tax incentives. What remains clear is that both countries have invested interest in maintaining and strengthening the trade relationship. With just over 78% of Mexico's exporting going to the U.S. and some companies considering expanding their presence in Mexico, the economic interdependence between these nations cannot be overstated. Near-shoring as a strategy for economic growth and supply chain resilience, therefore, remain undeniable. And Vesta is in a particularly advantageous position. We benefit from outstanding LEED-certified assets, a big footprint in Mexico's most resilient and desirable markets, strong relationships with premier clients and one of our industry's most innovative approaches to procuring energy. We are a landlord to some of the world's most important manufacturers and not by accident. Pip and lasting client relationships creates new avenues [indiscernible] for reoccuring growth. And as I noted, our Board and management team has considerable experience successfully navigating geopolitical and macro headwinds. Therefore, as we begin implementing our 2030 plan this year, we remain vigilant and cautious, fully aware of this year's importance as a foundation for the rest of the road map. Moving forward, we will continue to make strategic investments prioritizing land acquisition and development only when they provide a clear competitive advantage but also focusing on capturing every potential leasing opportunity. A few other notable highlights for 2024 before I turn to the quarter, leasing activity reached 7.7 million square feet for the full year of which 3.5 million square feet were through new leases. Nearly 80% of which was signed with current best-in-class tenants in e-commerce as well as live manufacturing for the North American supply chain. We saw $4.2 million in renewals during the year with an 8.4% increase in rent spreads and a 6-year weighted average lease term. Our focus on dollar-denominated contracts resulted in 89% of our 2024 revenues being in dollars, an important competitive advantage nonnegotiable stabilizing factor, which will never change at Vesta. Vesta also delivered exceptional financial results for the full year 2024, surpassing revised guidance to reach $152.3 million, a 17.7% increase year-over-year. Full year 2024 adjusted NOI margin and EBITDA margin reached 94.6% and 83.5%, respectively. Vesta FFO ended 2024 at $160.1 million, a 25.2% increase compared to $127.9 million in 2023. And in 2024, we secured a global syndicated sustainability-linked credit facility for $545 million Juan will discuss shortly. Turning to our fourth quarter 2024 operating results. Leasing activity reached 1.6 million square feet, 739,000 square feet in new contracts most in the Bajio region with premier global companies in the electronics, automotive and logistics sector and 813,000 square feet in lease renewals. Vesta's fourth quarter 2024 total portfolio occupancy, therefore, reached 93.4%. Stabilized and same-store occupancy reached 95.5% and 97.6%, respectively. We ended the quarter with current construction in progress, which reached 2.8 million square feet and an estimated investment of approximately $214.1 million. and a 10.9% yield on cost in markets, including Mexico City, Puebla Queretaro, Aguascalientes and Monterrey. We're pleased to see continued absorption strength in the Maje region. But during the quarter, we began construction on 3 new buildings in Queretaro, totaling 560,000 square feet. As a related update on our portfolio, we shifted the delivery timing of two buildings at our Apodaca project April from December. We chose to upgrade and expand the size of several buildings during the final stage of this project, also seeing an opportunity to reconfigure the part. These improvements, therefore, slowed down the delivery of certain buildings within the project, but the adjustments enhance the overall quality and functionality of the development and therefore, the final value. So while this impacted our near-term time line, they will not materially delay the expected income during the year, and this overall project remains on track for success. In closing, while we are certainly operating in interesting times, at the end of the day, we control our destiny. Our competitive advantages are clear and compelling, and our solid financial position means we're very comfortable being extremely selective in the tenants to which we lease. As I have commented in the past, we are focused on consistency and discipline as we navigate through potential headwinds on our route 2030 pack. In the meantime, we're allocating capital to ensure meaningful shareholder returns. Through opportunistic land acquisitions such as our recent purchase in Guadalajara and Ciudad Juarez, aligned with delivering on our 2030 strategy. Investors 2024 share repurchase program reached $42.3 million by year-end, 16.5 million shares, which is 1.9% of total outstanding shares. With that, let me now turn it over to Juan to review this quarter's financial results in more detail.
Juan Sottil: Thank you, Lorenzo. Good day, everyone. Vesta closed the year with exceptional financial results loan noted. Our total revenue reached $252 million, marking a 17.7% year-on-year increase and surpassing our revised guidance of 17%. NOI margin also exceeded our revised guidance of 94.5%, reaching 94.6%. While EBITDA margin was in line with our guidance, at 83.5%. Vesta FFO ended 2024 at $160.1 million, a 25.2% increase compared to $127.9 million in 2023. Turning to our fourth quarter results and beginning with our top line Total revenues increased 16.5% to $65.2 million, mainly due to higher rental revenue coming from new leases and inflationary adjustments on rental properties during the quarter. In terms of the current mix, 88.7% of our fourth quarter revenue was denominated in U.S. dollars, an increase from 87.8% from the fourth quarter 2023. Regarding our profitability, adjusted net operating income increased 11.7% to $59.1 million, while the margin contracted 460 basis points to 93.5%. This was mainly due to higher costs related to rental income generated properties including real estate taxes, insurance costs, maintenance and other property-related expenses. Adjusted EBITDA reached $52 million in the fourth quarter, an 18.5% increase compared to the prior year's quarter. And the margin increased 100 basis points to 82.7%, primarily due to lower administrative expenses, which benefited from the peso depreciation relative to the prior year quarter. We closed the quarter with a pretax income of $81.2 million compared to $99.8 million in 2023. This decrease was primarily due to lower gains on revaluation of investment properties, driven by a slower pace of development throughout the year as well as an increase in discount rates. Vesta FFO, excluding current tax, increased to $41.7 million this quarter from $32.6 million in fourth quarter 2023. Moving to our capital structure and balance sheet. As Lorenzo alluded, we ended the year in a very strong financial position. Cash and cash equivalents stood at $484 million. And our total debt remained relatively stable at $847 million as of December 2024. Net debt to EBITDA was 3.2x, and our loan-to-value was 21.4%, well below our guidance for prudent financial management. As we shared on our Investor Day, these are a loan-to-value of less than 30% and a net debt-to-EBITDA lower than 5x. Along these lines, in December, we successfully closed a $545 million global syndicated sustainable credit facility, as Lorenzo noted. This new financing is comprised of $345 million term loan structured in two tranches with terms of 3 and 5 years with an 18-month availability period in addition to a $200 million revolving credit facility. This facility replaces our prior $200 million in place and undrawn revolving credit facility. We are very pleased to have secured this new financing, ensuring continued access to strategic liquidity at a competitive cost. This strengthens our financial flexibility as we execute key initiatives aligned with Vesta's route 2030 strategy, driving sustainable value for our shareholders. Our share repurchase program is also a key pillar of our capital allocation strategy. 2024, our program reached $42.3 million or 16.5 million shares is approximately 2% of total outstanding shares. We will continue to execute opportunistically as we have successfully done it in the past to maximize long-term shareholder returns. In addition, and subsequent to quarter's end, on January 15, 2025, we paid a cash dividend for the fourth quarter, equivalent to MXN 0.38 per ordinary shares. This concludes our fourth quarter 2024 review. Operator, would you please open the floor for questions.
Operator: Yes. Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Your first question comes from the line of Pablo Monsivais with Barclays.
Pablo Monsivais: I was wondering about Monterrey. In your development portfolio, like you have Apodaca 6, 7 and 8. And it seems that you don't have at least yet. And we know that the Monterrey has been an excess capacity probably in the fourth quarter of last year. So when to pick your brain on how are you seeing leasing activity for these three buildings because if I see it correctly, it's 1.1 million square feet. So it's perhaps quite a lot. So just wanted to hear your thoughts on what the clients are saying, how servicing activity there?
Lorenzo Berho: Perfect, Ola Pablo, and thank you very much for being on the call and for your question. Monterrey has been a key market for Vesta. We currently have developed two projects, one of them in Apodaca -- I'm sorry, in Guadalupe and the second one in Apodaca. As you might know, we are fully leased in Monterrey with clients such as Amazon, Mercado Libre, Polaris, OXXO, Walmart, among others. We have been very successful in the leasing in the last phase. Now today, what we have is three buildings on the construction, which have been part of the development pipeline for the last quarters. And we feel confident that these buildings will be lease accordingly when we finish the projects. Currently, we have an estimated completion date for the second quarter I was recently in Monterrey. The progress is well on the buildings. And actually, we have some minor delays on the projects. The reason being that we upgraded the specifications of the buildings characteristic, considering better sustainable characteristics for the buildings. And therefore, we think that the best companies will, for sure, be looking carefully into our project in Apodaca into our buildings. Because of the quality of the project that we are currently developing. I'd like to invite all of you to make a visit to Monterrey. It is very well located in the Apodaca main corridor with good access to infrastructure, good access to labor pool. And we have a local dedicated team focusing on the leasing of these projects even before they are done. So this is going to be an important year, and we have strong confidence in the Monterrey market. And good confidence on the product that Vesta is able to deliver. .
Operator: Your next question comes from the line of Alan Macias with Bank of America Merrill Lynch.
Alan Macias: Good morning, and thank you for the call. Just a follow-up question, I guess, on the stabilized portfolio occupancy in the North region decreased. And I guess if it's Monterey is stable? What other markets did you see pressure there? .
Lorenzo Berho: Alan, thank you very much for your question. I already explained on Monterrey, where we are fully leased and the market is still behaving quite well. We're not focused in all north of Mexico. There is actually markets where we're not into, but we have a strong focus and a good presence in Tijuana and Ciudad Juarez. Tijuana and Ciudad Juarez have shown some sort of slowdown in the last quarters in terms of demand. And that is not only impacting vessels portfolio, but also the rest of the market. But still, we think that vacancy rates are in a moderate level. And we think that as soon as demand picks up, there will be some interesting opportunities. For the type of buildings that Vesta has -- Vesta actually has only a couple of brand-new buildings in Juarez, which are on the leasing stage. And we are confident that the quality and the location is outstanding, and we'll have an advantage to other projects. But it has taken a little longer in this new cycle and pretty much the same with Tijuana. Nevertheless, that we have a good portfolio with good tenants, some of them requiring expansions. But at the same time that there is very shift towards demand in the last quarters, and we will like -- we will be cautious to be patient on having been able to lease up to good tenants, long-term leases, in line to Vesta's existing portfolio.
Operator: Your next question comes from the line of Alejandra Obregon with Morgan Stanley.
Alejandra Obregon: I have a few on the Bajio. So it looks like some KPIs are improving. You're doing some backing of vacancies, some pre-leasing, cash rents are holding up pretty well. So I just wanted to kind of like get a sense of what you're seeing on the ground. What -- I mean if you look at the tenant pool that you have for the available and for the coming development space in the rail, is there any perhaps ecosystem that is taking in your conversations, especially in Queretaro now that you brought up some four properties in Queretaro to the development pipeline, what's happening in Wallara. Any color here will be very material.
Lorenzo Berho: Thank you, Alexandra. And yes, glad to share Guadalajara, as many of you know, has been a very attractive market, particularly for the electronics sector as well as e-commerce. We were fortunate to be able to buy the land adjacent to our park. So we will soon start development and use the existing infrastructure of the park and expand it to the new site. It is not very large but we think that it's a great continuation and a great opportunity to be able to keep on growing in a fantastic location, where we have grown with clients such as Foxconn BSB Logistics Mercado Libre, Amazon. And I'm pretty sure that particular success will expand with the current land that we acquired. In Queretaro, we have seen some very positive signs to that there has been a recovery. Vacancy rates are still low. There has -- demand has picked up. We are fully leased in the Vesta Queretaro. And for that reason and for the pipeline that we have seen, we think it's a good moment to start construction and inventory buildings and use and anticipate to some clients that require space immediately. Just to give you again some names on the Queretaro the price we have in Queretaro, we have clients such as FedEx, Home Depot ESA and recently, companies in the electric manufacturing sector, focusing on machinery and equipment for Mexico as well as export to the U.S. So we think that there is a good demand in the market, and that's why we would like to anticipate and have good space available for those tenants that require expansions. We just say the same for the aerospace industry. Nevertheless, we -- many of the decisions we take them with discipline. -- we know our markets and we validate each decision at our investment committee, where we know that whenever there's an opportunity where we have an advantage, we take that opportunity to start and anticipate the potential demand. The rest of the markets, I would say I would say, in the Bajio region are still improving. However, we think that patients has to prevail as well as caution so that we understand better the uncertainties that have triggered current trade tensions between the U.S., Mexico and the effects of the tariffs are imposed to many goods from all over the world from the U.S. yes. .
Operator: Your next question comes from the line of Gordon Lee with BTG.
Gordon Lee: Thank you very much for the call. Two quick questions. The first one, Lorenzo, in November or December, I can't remember exactly the date when you unveiled route 2030. You had already sort of adjusted, I think, your view at least for the medium term, just to encompass this sort of more uncertain scenario. And so I'm wondering, 3 months later, whether you think that, that adjustment was enough or whether you're feeling a little bit more cautious? And then the second question is in this uncertain environment, as you look to replenish your land bank, are you finding that, that uncertainty is either producing greater availability of land or land on better terms? Or have we not seen that adjustment yet.
Lorenzo Berho: Thank you for your question. Well, I think we were -- Vesta has always had the strategy to define a long-term plan. And execute understanding that things might vary in the period. Level 3 strategy was very successful. We are happy to be able to close that particular cycle of the company. And that gave us the opportunity to present another long-term plan. The route 2030 back in November. And we believe that Vesta has a clear vision on hard way it's heading towards 2030. We have a clear path. And we feel confident that, that plan will be well executed and will be very profitable. That plan incorporated the uncertainty for 2025. And so where we are standing today in 2025, it's a little bit of a no surprise. We understand how our clients behave, we understand how new demand behaves and it's understandable that there will be some uncertainty through a period of time. Nevertheless, this is also not new, and we have been over these times before. And this is a great moment to position the company better to be ready when there is a new economic cycle, and we know that, that will happen. And this will probably take it to your second question, Gordon. Definitely Vesta has a strong discipline towards acquiring the best location, the best land with urban infill and high barriers of entry, land that we can add value through high-quality projects. And definitely, we have been analyzing different sites. And we're going to take advantage of being able to close on probably the best sites in the best markets, which are the ones that we operates. So it will be a very interesting year, where we think [indiscernible] will be even better positioned for the long-term plan that we have on bail.
Operator: Your next question comes from the line of Rodolfo Ramos with Bradesco BBI.
Rodolfo Ramos: It's a little bit of a follow-up on the previous discussions. But we've seen this weakness in the northern markets. And my question here is twofold. It doesn't seem to be the case. But in the future, how do you see this weakness in the northern markets impacting your Bajio markets? I don't know if this is these are substitutes or these are just completely different client bases that you're tapping. So that's the first question. And the second one, which is related as well, how does this change your answer to the first question, how does it change the pace and the focus of your development pipeline considering you have ambitious CapEx plans under your route 2030 in Monterrey, Tijuana Juarez. So those will be my questions.
Lorenzo Berho: Thank you very much for your question. Well, regarding the first one, I believe that all markets have very different dynamics. And they -- and all of them, first of all, we valid first, the real estate fundamentals in each of the market, then we analyze the trends of which the restrictions and the opportunities. And I believe that the industrial market in Mexico behaves differently from one to the other because some of them are more related to consumption, logistics, e-commerce. And in a broad matter, I think that that's mostly on the metro areas, particularly in Mexico City and even in the Bajio. Another market rely more on supply chains, manufacturing and export, I would probably say that the border region being more on that category. So with that, we analyze both things. And as you know, we focus on both industries, let's say, both segments. And I think that -- but as long as there is opportunity on both, there will eventually be opportunities in pretty much all of the markets that we operate. However, understanding real estate fundamentals, we know that there are cycles. There's moments where there is a limited supply, when there's strong demand, where there's moments that, that gets that could get inverted. And today, we think that trends are a bit different. However, we feel confident that vacancy rates are still at pretty low levels. I think that us and even other developers have been conservative on this approach, and that's why we think that the markets are in a still healthy stage. We see most of the markets being in the let's say, 5% latency rate, give or take. Some of the markets are even closer to 1%, like Mexico City. Bajio region, even in some cases, now lower than 5%. So we will follow carefully. We'll be patient, disciplined and I think that this is not the first time that we are in the situation. And as long as we have good quality products, but we understand the clients' needs, I think that we can take advantage of these particular situations. Maybe developers that do not meet the quality or do not have the right infrastructure or do not have the permits in place. Those will probably struggle the most. But as long as we have good quality product, which is what we have focused -- been focusing on. I think that we have a better advantage. Just to use the example on Monterrey, one of the greatest decisions that we recently did is to improve the specifications on the buildings it pass us a bit of a delay, but we think that we're in great shape and a great moment to deliver, but I would probably think are the best buildings in the Monterrey market, Ih is the largest one. So we have a great location. We have the best buildings. And actually, we have a great tenant base already in Monterey. So I don't see why we're not going to be able to continue that success even now with improved products.
Operator: Your next question comes from the line of Francisco Chavez with BBVA.
Francisco Chavez: Question regarding the position of land in quarry early this year and consider what you have mentioned the softening activity inquiries. Can you give us an idea on how opportunistic acquisition is it was applied at a lower price than a few months ago. I know that you can let us know this land has access to electricity and has all the infrastructure in place.
Lorenzo Berho: Francisco, thank you very much for your question. Yes, we're very happy that we were able to find this site in a quarter. And maybe to your last point, what is key about this land is that remember that land for us is raw material. And then the pace on the development, it depends more on how we see the demand coming. But one of the greatest things is that it has access to electricity. It is very close to the border crossing of Saragosa which is the major commercial border crossing in the -- in Ciudad Juarez. It is right next to the current project that we developed. So this gives us continuity on what we think is the best submarket in the Ciudad Juarez region. So I think that this will put us in a great shape whenever we see that there is a demand in the market, we will kick out with a project. But the size was also very important so that we can deliver a high-quality industrial compounds where there could be synergies amount among our tenants where there could be higher quality of infrastructure higher quality of security and the accessibility to the border crossing, I think, is going to be key. So we're happy to be able to close on that land, and that will be a project that will be developed over time.
Operator: Your next question comes from the line of Jorel Guilloty with Goldman Sachs. It seems that Mr. [indiscernible] just dropped from the line. The next question comes from the line of Jorge Vargas with GBM.
Jorge Vargas: Congratulations on the results. Only one quick question from my side. Regarding the CapEx deployment throughout the year, what were the dynamics that influenced not meeting guidance? And should we expect an acceleration in 2025.
Lorenzo Berho: Thank you, Jorge, for your question. We're not giving any guidance in terms of capital deployment as we have done in the past. But the only thing that I can say is that we currently have a development pipeline that has been carefully selected with discipline by the investment committee. And whenever we continue -- we have recently done land acquisitions, and we will continue with that same dynamic following the path towards our, let's call it, mid long-term plan. And with that, I think that Vesta will continue to have an active capital deployment strategy. And maybe just to add a bit on the strategy, we are glad to been able to close on a leasing -- I'm sorry, on a credit facility that will help us in the future to fund the capital requirements of the company. So we are in a very good shape. In terms of our balance, we have a good credit facility. And with that, we have enough resources to have -- for the capital deployment strategy for the year.
Operator: And the next question comes from the line of Jorel Guilloty with Goldman Sachs.
Jorel Guilloty: Apologies for that, my line dropped. So I had two straightforward questions. So the first one is around your guidance. I just wanted to see, would be able -- would you be able to provide or give some color on what your occupancy and lease spread expectations are within that guidance? And then the second question is around essentially development pipeline. So mean going back to the last day back in November, there was already -- you already gave an idea that there was going to be a downshift in the development pipeline, at least for the next year or and we're clearly seeing it now. But I just wanted to get a sense, are you also seeing it from your competitors? Are they in general terms, also downshifting development pipelines as well basically based on how the macro environment and the policy environment is developing. So those are my two questions.
Lorenzo Berho: Thank you, Jorel. Well, I think that Vesta -- when it comes to our peers, I think that we have different types of peers and I think that some of them that you know very well, they are focusing right now on a major merger, which is going to have them very busy. And I think for that reason, I think that they have been focusing mostly on that particular major merger. Other developers, I think other players did not have major development capability. So it's kind of hard to talk about [indiscernible] of our fees in terms of development. What I can say is that there has been Vesta has had a well-defined strategy towards development. We understand whenever there's moments to put the gas pedal down, we know when there's moments that we need to push the break pedals hard. And there's signs when you just have to drive carefully using the gas pedal when needed and also using the brakes. And I think that's exactly the situation that Vesta might be facing understanding very clearly what happens in each of the markets. Whenever there's an opportunity, you put the gas pedal down, but then you need to break to just drive perfectly. And I think that has been the strategy in the past of Vesta, and it has played out well. And right now, maybe to your point on the on the forecast, yes, we think that having development of over 2 million square feet per year compared to maybe other years where we have close to $3 million, $4 million. Well, I think it's still a good number. But it's not about the current year. I think it's more about the combination of years that will help us to continue that discipline to develop at a major spreads returns of 10% when stabilized assets are close to 6% and focus on profitability more than the size more than the amount of square feet and continue our strategy to develop to give profitability through net asset value per share increase as well as FFO per share increase, and that's what we have done in the past. And that has been a major driver of value, and we will continue with that particular discipline. In terms of occupancy, well, I think that we're in a great shape. There could be adjustments upwards or downwards. And we think that in general terms, broad base, we are in a great shape. We're were above the historical averages that we have held. So we're in a good position, and I think that will be -- that will be -- we wouldn't be able to hold those averages quite well in the future.
Jorel Guilloty: And a follow-up really quickly. I was just trying to understand, and I don't know if this is something you provide, but embedded in the guidance, what is the occupancy expectation, what is the lease spread expectation? .
Lorenzo Berho: Sure. Well, I think we will continue the same trends as we have seen in the past. Where as reported, we have had approximately -- the way we report it is approximately 8% increase towards in line towards [indiscernible] rents. And that has been pretty much sustained over the last 4 quarters. So I think that going forward, this is quite positive. This is way above inflation. Remember that many of our -- all of our lease agreements have an adjustment at every anniversary most of them to inflation. And we as we consider our rollovers being close to 8%. Well, that's way above inflation. And I think that consistently over the quarters consistently over the years, we continue pushing hard our revenue growth, and we think that we're in a great shape in that too.
Operator: Your next question comes from the line of Keefer Kennedy with Citi Bank.
Keefer Kennedy: Just a follow-up on previous question regarding projects under construction. You've explained the aspects regarding Apodaca project in Monterey. I'd like to get a better color on Valede Mexico. Yes, Punta Norte is a small project, but it seems to be delayed as well compared to third quarter expect or termination date. I'm just wondering what would be the reasons here. Any color on that would be very helpful.
Lorenzo Berho: Sure, absolutely. And thank you for your question. Well, Punta Norte in Mexico City that it experienced a minor delay, and it's mostly coming from the -- from our clients. So we ended up leasing the larger building to Mercado Libre and they ended up taking the second building. It's a major project under construction. We are considering the tenant improvements already what we built. And sometimes, when you lease up a building before construction, there could be some times adjustments. But we're very happy that -- those projects will be delivered next quarter. And not only that, they will be developed and leased to the largest e-commerce company in Latin America with a long-term lease and of course, at an inboard terms at a 10% return. So we're very happy with the tenant. We're very happy with the project and those minor delays have pretty much non-impact on the profitability of the project on the Apodaca deal. Actually, if you look at the -- if you look carefully into the detail of each of the projects, we actually expanded one of the buildings just because we found out that we could take advantage of the floor area ratio. We also consider some sustainability features on the roofing, which is basically a membrane of TPO. We also consider some efficiencies on lighting, electricity, amenities. So a lot of aspects that we think add value to the project. And we did all of that while not only maintaining but even increasing the return of the projects. So that's why the minor delays, which is only a few months have no material implications. We actually -- I was there last week -- and I'm very happy to see that how these projects are evolving. And these are actually the last buildings on the Apodaca sites. And with this, we will completely be fully leased in what we think is one of the most successful projects that we have recently developed. And maybe just to add up on maybe a previous question. I'd like to also highlight how well the company has done in our discipline to get dollar-denominated leases. We're currently at 89%, almost 90% of our leases being in U.S. dollars. This is a historic high. I think that this reflects well our discipline, our approach to be on the right currency. And when talking about spreads. And when talking about rents and talking about long-term leases, it's always better to consider that there's an opportunity to do it in U.S. dollars, and we think it's a great advantage.
Operator: Your next question comes from the line of David Soto with Scotia Bank.
David Soto: Two quick questions. The first one is related to the development pipeline. Did you see any major risks that could affect your development pipeline for tariffs local regulation, energy regulation or a potential increase in construction materials? And the second would be, could you provide some color about the marketing efforts that you are having on the building to be leased in [indiscernible].
Lorenzo Berho: Thank you. I don't see any effects on materials. Remember -- so our development approach is based on having third-party construction companies, third-party project managers. So we think that we have a very good grip on the development process. Minor development delays have to do with maybe other things. But I think that Mexico is very well supplied in terms of materials and should not be a major effect for this type of projects. And we have actually a process for each of the buildings, independently. Which I think is an important aspect to how we reduce risk on the development process and the construction process. And then on the second question? Okay. So commercial efforts. Well, I think that another main differentiator of ESA is that we are a vertically integrated company. Terminally managed and we have local presence in each of the markets. And I think that is when it comes to commercializing and being able to market each of the regions. We have very professional real estate executives in Ciudad Juarez, in Monterrey, in Tijuana will be glad to host you whenever you like and not only visit our projects, but meet the team visit our offices and understand how we have a local approach in each of the regions that we operate. We use, of course, we use third-party brokers when needed. We talk to local authorities. We actually market a lot with existing clients, a number that surprisedly positively last year is that 7 -- more than 70% of our leasing activity in the last year came from existing clients. Growth comes from existing clients and 70% is a material number. That's why our focus in high-quality tenants is very important. We want to continue growing with good companies and good companies tend to grow, and that's the opportunity that we see investors.
Operator: Your next question comes from the line of Armando Rodriguez with Signum Research.
Armando Rodriguez: Congratulations on the results. I think I have to do the mandatory question specifically about the automotive sector. As you know, we have heard some news about some major automakers that plan to move away the production to United States to avoid this tariff problem. So I don't know, as you have said, our the growth comes from your existing clients. So I don't know if you Nissan, for example, it's considering this scenario and maybe another important piece for example, that's my question. Thank you very much.
Lorenzo Berho: Thank you for your question, Armando. Well, yes, there have been some -- there has been a lot of news lately on many items, one of them being the auto sector. And actually, we regarding, for example, Nissan, we recently Nissan recently announced and reaffirmed their commitments towards Mexico, towards Aguascalientes. So sometimes we get negative news, but sometimes those get they actually reaffirmed that they have strong commitments to Mexico. So I think that has not been -- it has not been any major shifts until we see how the -- what the final outcome will be regarding tariffs. So I think it's a little early to say. I think that most of the companies have been very profitable in Mexico. Have been -- actually very profitable in North America because, as you know, the auto sector relies not only in Mexico, but it's Mexico and the U.S. combine and moving auto parts from one place to the other several times in order to have a competitive final product. So I think that this is February, we have -- early in February, we saw the first issues regarding tariffs. We will have to continue analyzing carefully what the outcome will be. But in the end, I think that most of the companies are already in Mexico have long-term plans in Mexico have major investments. They have been profitable near shoring is not new, near shoring has been here since, I would even say, NAFTA 1994, it has been several years. And as long as companies are profitable, I think they're going to make their best efforts not only to maintain the operations in Mexico, but maybe even expand. But of course, we'll have to figure out what the new rules in terms of trade will be, and we'll have some information later in the year.
Operator: Your next question comes from the line of Alan Macias with Bank of America Merrill Lynch.
Alan Macias: Just a follow-up question. I guess your pipeline has an investment for $214 million. Can you give us the amount you have already deployed? And I guess, should we expect -- I know you do not give guidance for CapEx, but is $200 million to $250 million a conservative assumption? .
Lorenzo Berho: Thank you, Alan. So investment today out of the construction building $640 million. Give me one second, is -- we have investment today, $140 million of the $240 million, I think, is the right number, right? Exactly. So the rest is -- so the remainder is what we still have to complete these projects, which is which is construction. And I think in terms of capital deployment, well, we will start more buildings throughout the year. We will buy more land. We will invest in the urbanization and infrastructure in land like we are doing in Tijuana. So I think that this will be an active year still. Particularly, as you know, we kind of develop the land that we have we're buying new land. That land has to get its infrastructure and utilities improvement. So this will be a year where we will continue to be active on the construction side. .
Operator: As there are no further questions, I would now like to turn the call back over to Mr. Berho for his concluding remarks. Please go ahead, sir.
Lorenzo Berho: Thank you, and thank you, everyone, for joining today's call. We're pleased with our financial and operational results in the fourth quarter, including an exceptional year for our company. I want to thank our shareholders for your ongoing support and our investor colleagues who continue to enable us to outperform in any environment and our many lean and long-term clients. Our future remains bright, and we look forward to updating you on our progress. Thank you for listening.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.